Operator: Good afternoon, and welcome to Asure's Third Quarter 2025 Earnings Conference Call. Joining us today's call are Chairman and CEO, Pat Goepel; Chief Financial Officer, John Pence; and Vice President of Investor Relations, Patrick McKillop. Following their prepared remarks, there will be a question-and-answer session for the analysts and the investors. I would now like to turn the call over to Patrick McKillop for introductory remarks. Please go ahead, sir.
Patrick McKillop: Thank you, operator. Good afternoon, everyone, and thank you for joining us for Asure's Third Quarter 2025 Earnings Results Call. Following the close of the markets, we released our financial results. The earnings release is available on the SEC's website and our Investor Relations website at investor.asuresoftware.com, where you can also find the investor presentation. During our call today, we will reference non-GAAP financial measures, which we believe to be useful to investors and exclude the impact of certain items. A description and timing of these items, along with a reconciliation of non-GAAP measures to their most comparable GAAP measures can be found in our earnings release. Today's call will also contain forward-looking statements that refer to future events and as such, involve some risks. We use words such as expects, believes and may to indicate forward-looking statements, and we encourage you to review our filings with the SEC for additional information on factors that could cause actual results to differ materially from our current expectations. I will hand the call over to Pat in a moment, but I just wanted to take a moment to remind people of our upcoming Investor Relations activities. During the month of November, we will be attending the following conferences. On November 18, the Craig-Hallum Alpha Select Conference in New York; on November 19, the ROTH Technology Conference in New York, and the Stephens Conference in Nashville. On November 20, we will attend the Needham Technology Conference in New York. On December 16, we will participate in the Northland Growth Conference, which is being held virtually. We also expect to schedule some additional non-deal roadshows. Investor outreach is very important to Asure, and I would like to thank all of those that assist us in our efforts to connect with investors. Finally, I would like to remind everyone that this call is being recorded, and it will be made available for replay via a link available on the Investor Relations section of our website. With that, I would now like to turn the call over to Pat Goepel, Chairman and CEO. Pat?
Patrick Goepel: Thank you, Patrick, and welcome, everyone, to Asure Software's Third Quarter 2025 Earnings Results Call. I am joined on this call by our CFO, John Pence, and we will provide a business update for our third quarter 2025 results as well as our outlook for the remainder of 2025 plus our initial guidance for 2026. Following our remarks, we'll be available to answer your questions. We're pleased to report that our third quarter revenues were very strong, coming in at $36.3 million, 24% increase versus the prior year third quarter. Our revenues reflect what we believe is an inflection point of increasing growth, which was broadly based across all our product lines such as payroll, benefits, recruiting, time and attendance as well as our payroll tax management business. Organic growth in the third quarter improved sequentially from the second quarter, and we're forecasting continued improvement in the future. Our performance this quarter is reflective of what we believe is strong demand for human capital management products from business owners of all sizes. Our recent acquisition of Lathem Time is also performing well, and our team is continuing to work on achieving revenue and cost synergies going forward, which we believe can be obtained over the next 12 months. As a reminder, we believe the addition of Lathem will further increase cross-selling opportunities for us and quicken the pace of which we can get new payroll clients started. As we've discussed during the past earnings calls, we have made investments in order to improve our technology as well as integrate the different point solutions we have acquired over the past few years. Today, we are excited to announce that we recently launched a new client interface, which we call Asure Central. Asure Central will offer clients a new experience with a brand-new look and feel and improve their workflow as well as enable us to amplify items such as event-driven marketing efforts. We believe that this new client experience will also further accelerate the rate at which we can drive our cross-selling or attach rates with more than our 100,000 clients going forward. Our team has just started this rollout in the past week with our direct clients, and we plan to introduce it to our indirect clients soon. Our bookings for the third quarter declined by 41% versus a year ago due to large enterprise deals, which were booked in the third quarter of 2024. Excluding those deals from the comparison, our bookings were up 21%. Now I would like to hand it off to John to discuss our financial results in more detail as well as our guidance. John?
John Pence: Thanks, Pat. As Patrick mentioned at the beginning of this call, several of the financial figures discussed today are given on a non-GAAP or adjusted basis. You will find a description of these GAAP to non-GAAP reconciliations in the earnings release that was made available earlier today. The reconciliations themselves are also included on our most recent investor presentation posted in the Investor Relations section of our website at investor.asuresoftware.com. Now on to the third quarter results. Third quarter total revenue was $36.3 million, increasing by 24% compared to the prior year period. Recurring revenues for the third quarter grew 11% versus the prior year to $31.8 million. Our professional services and hardware revenue was $4.4 million in the quarter compared to $700,000 in the third quarter of last year. A majority of the revenue growth in this category was driven by hardware sales tied to our recent acquisition of Lathem Time. Our organic growth improved sequentially to approximately 4% in the third quarter compared to 1% in the second quarter. The impact of HRC ERTC-related churn in the second quarter was 4%. And in the third quarter, it was 3%. So, in summary, our organic growth, excluding HRC ERTC-related churn in the third quarter was 7% compared to 5% in the second quarter. Float revenue was down slightly versus prior year due to previous rate reductions made to the federal funds rate, partially offset by an increase in client funds. Regarding our outlook for interest rates, yesterday, the Federal Reserve cut rates by 0.25 point, and we are now modeling another 0.25 point interest rate cut in the remainder of this year. We believe that as our client fund balances increase, this will help offset some of these rate cuts. Our cross-selling efforts showed good results this quarter with our attach rates, which measure clients that take more than one product, continuing to move higher sequentially in the low single digits versus second quarter. Gross profit for the third quarter increased to $23.1 million versus $19.7 million in the prior year third quarter. Gross margins for the third quarter were 64% compared with prior year at 67%. Non-GAAP gross margins for the third quarter were 70% compared to the third quarter of the prior year at 73%. Our overall gross margins were down due to revenue mix as we experienced an increase in lower-margin nonrecurring sales, primarily driven by the recent Lathem acquisition. Net loss for the third quarter was $5.4 million versus a net loss of $3.9 million during the prior year. EBITDA for the third quarter was $3.9 million, up from $2.2 million in the prior year. Adjusted EBITDA for the third quarter increased 49% to $8.1 million from $5.4 million in the prior year, and our adjusted EBITDA margin was 22%, an increase of 300 basis points compared to 19% in the prior year. Turning now to the balance sheet. We ended the third quarter with cash and cash equivalents of $21.5 million, and we have debt of $70.4 million as of September 30, 2025. As we discussed on prior earnings calls during 2025, we have and continue to invest in our technology and our product offerings to achieve our continued revenue growth and improve profitability goals. We continue to model for a relatively stable cost structure for the remainder of this year and into 2026. Our fourth quarter and 2025 full year preliminary 2026 guidance is based on continued positive momentum in our business. Now in terms of guidance for the fourth quarter of 2025, we are expecting fourth quarter revenues to be in the range of $38 million to $40 million, and adjusted EBITDA for the fourth quarter is expected to be between $10 million and $12 million. Therefore, our full year 2025 results should be between $139 million to $141 million in revenue, with adjusted EBITDA margins of between 22% and 23%. Today, we are also providing our initial view on 2026 revenue, which we believe will be between $158 million and $162 million, with adjusted EBITDA margins of between 23% to 25%. Our belief is that at these higher revenue levels, combined with a consistent cost structure, we will begin to deliver consistent GAAP profitability. In conclusion, we are excited about the remainder of 2025 and look forward to 2026 being an inflection point for Asure's business. With that, I will turn the call back to Pat for closing remarks.
Patrick Goepel: Thanks, John. We are pleased to have delivered strong results in the third quarter of 2025. Our business has performed well during the first nine months of the year, and we're excited about the future. We believe that we are at an inflection point in the business with all the hard work we've done to improve our product offerings, invest in our technology and integrate acquisitions. We will continue to increase our growth organically while potentially being GAAP profitable in Q4 of 2025 and for the year 2026, both of which are important milestones for the business. As we look forward to 2026, we'll continue to grow organically, invest in sales and marketing, roll out technology and look to acquire value-creating opportunities. We're not slowing down. Our guidance for 2026 implies continued improving organic growth and margin improvement. We're well on our way to our medium-term plan of between $180 million to $200 million in revenues, where we believe we can achieve adjusted EBITDA margins of 30% plus. We are super excited about the launch of Asure Central, which we believe is going to be a major enhancement to our client experience. Our R&D team has spent an enormous amount of time on this development, and I would like to thank them for their efforts. Asure Central is the latest in this list of the many accomplishments we achieved during this past year. In summary, we're very pleased to have delivered a strong performance in quarter 3. The outlook for a combination of improved organic growth, more free cash flow and potential GAAP profitability, we believe, is a great recipe for success. We continue to work diligently on creating increased value for our shareholders and our stakeholders. We'll continue to provide innovative human capital management solutions that help businesses thrive, human capital management providers grow their base and large enterprise is streamline their tax compliance. Thank you for listening to our prepared remarks. So, with that, I will send the call back to the operator for the Q&A session. Operator?
Operator: [Operator Instructions] Our first question comes from Joshua Reilly with Needham & Co.
Joshua Reilly: All right. Nice job on the quarter here. I just wanted to hit on the 2026 outlook to start with here and get a better understanding of what are you assuming in terms of the traditional organic growth and enhanced organic growth assumed in the trend there? And then along with that, how are you thinking about where the balance sheet is at today to kind of continue the reseller acquisitions at a pace that you have been going at in the first half of this year and what you were doing in 2024?
John Pence: Yes. I'll answer the -- Josh, this is John. I'll go first and let Pat kind of annotate. I think we feel pretty good about where the balance sheet sits right now. We'll be opportunistic like we always are in terms of doing the tuck-in deals. We have not modeled anything extraordinary in terms of the enhanced organic going into next year. Really, it's just the runoff of what we've previously purchased that's currently in our estimation for next year. In terms of capacity, one of the reasons we chose mid-cap now we've used up the current committed facility. But obviously, they've got the wherewithal to support us if we find things that are interesting. So long-winded answer to say not a lot played in for enhanced outside of what's already been acquired. And we feel like we -- with our lending partner, if we do find something that's pretty large that we can tap them to help us with those extra deals -- large deals. So, I'll give it to Pat.
Patrick Goepel: Yes, Josh, I think we're at an inflection point. Second quarter was an inflection point. organic growth, we're going to end the year with each quarter increasing more and more on organic growth, and that won't slow down in '26. I think you're going to see is the '26 guide. What we have visibility, especially in the first half year is to continued organic growth increases. So the $160 million would imply somewhere around 7% or so, but we're continuing to have confidence. And the way we've thought about the year is the stuff that's already baked and we have visibility to. And I think towards the second half of '26, we have the ability then as those plans continue to crystallize to increase it. As far as profitability, we're at a point now where we can start throwing off cash. So from a lending perspective, the nice thing about it is we have some cash on the balance sheet, but we're also generating cash, and we'll have that available. And then as John stated, from a mid-cap perspective, if we need to expand the line, we'll do that. But I really feel like we have increasing momentum here. The inflection point was the second quarter. And I think you're going to see both in GAAP profitability as well as organic growth that we're in a position to keep increasing here. And then from an enhanced perspective, I think we all -- we will have opportunities as we go into the year, but we don't have anything extraordinarily planned right now.
Joshua Reilly: Got you. And then just one follow-up on the 7% adjusted organic for the ERTC HR Compliance item there. How much of that -- that's a little better run rate than what we've seen recently -- how much of that is from cross-sell versus net new units to the business? Any color there would be helpful.
Patrick Goepel: Yes. What I would say our cross-sell results were up 7% quarter-over-quarter, and that's without Asure Central. And Asure Central brings all the products and solutions together under one common UI. The other thing to point to that, which is really exciting, is the fastest growing of the sequential growth is in three, four, five products. So people are wanting to buy the whole solution. And from a technology and a delivery perspective, we're increasingly capable of setting that up for clients and really leaning into that. So I think you're going to see that be a big driver and a big theme into next year. And like I said, I think Q2 was the inflection point, a down payment here in Q3. You'll see an increase in Q4. You'll start to see an increase in Q1. We really have some pretty good momentum in this area. And then we've been planning for it in the entire organization, whether it's technology, sales, marketing, implementation, we're bringing all these products together from point solutions to a solution for the entire business, and that's really exciting.
John Pence: And I think just to your point on ERTC and we believe that there's probably another 1% maybe impact in the fourth quarter, and then we'll never have to talk about it again. So I think we're getting pretty close to having ERTC and compares and talking about that out of our contract.
Operator: Our next question comes from Bryan Bergin with TD Cowen.
Jared Levine: This is actually Jared Levine on for Brian. Can I just start, can you talk about sales cycles and pipeline views across your key offerings? Has anything kind of materially changed since last quarter?
Patrick Goepel: No. I think from a small business perspective, I think in some cases, decisions are quick. In some cases, I would say there might be multi-solution deals that take a little bit extra-long. But in the segment of the market we play, which is largely in the small business, medium-sized business market, we're not seeing too much slowdown, if you will. On the large enterprise deals, you may see an extra 30 days of measuring once or measuring twice, cutting once. But nothing material for us to talk about today. I think it's really business as usual in the small business area despite what happens in the broader macro environment.
Jared Levine: And what about those pipeline views as well?
Patrick Goepel: Pipeline views look pretty strong. I do think you're going to see us lean in more to marketing in '26, and that was implied in our guide already that we'll continue to look. We think there's opportunities to continue to market and sell to that base. As far as the pipeline this year, pipeline is up quite a bit.
Jared Levine: Got it. And then in terms of that 7% organic growth assumed for FY '26, I just want to double-click on this. Can you highlight what are the key drivers underlying this and whether that's kind of key offerings under within the business there? And then how much of a headwind will float revenue be to that organic growth rate?
Patrick Goepel: Yes. From a float revenue perspective, we've modeled two more cuts in '26, and we think that we'll be somewhere between 3% and 3.25% at the low point. Now we also believe account balances going up will partially offset that. And then as you know, in our Q, we have roughly $90 million or so that is in long term. So that protects that float quite a bit. So, really, we're probably a small degradation planned in next year, but we're hopeful that, that gets minimized by some of the things we talked about. We model kind of flat employment, if you will, nothing heroic there. And as far as the solution offering and the reason we're so excited about it at Asure Central is as we bring these solutions together, the ability to sell, let's say, an ASO offering with multiple products and services similar to, let's say, a PEO without the PEO kind of insurance policies, et cetera, or employee leasing. And it allows us really to be a back office for a small business and be compliant across all products and services, whether it's HR, payroll tax filing. We think that's a winning proposition, and that's the one we're going to lean into in general. Some of our point solutions will continue to grow as well. And then obviously, with the acquisition of Lathem, we think the attach rates of time to payroll will continue to grow up as part of those offerings.
Operator: Our next question comes from Eric Martinuzzi with Lake Street.
Eric Martinuzzi: Yes. Regarding the Lathem time, you had said last quarter that you were anticipating about a $15 million revenue contribution over the 12-month period from July through the end of June of 2026. Is that still an accurate number?
John Pence: Yes. I mean I think there's -- this quarter, for example, we -- the net impact before the acquisition was roughly $4.7 million or $4.6 million. It's in the kind of bridge of the 24%. And the composition of that is roughly 40% hardware or nonrecurring and the rest is recurring. So about $2.7 million or so of that $4.7 million, $4.6 million is recurring. So the recurring is pretty easy to predict, right? So take that $2.7 million, that's $10 million. So there'll be $10 million of recurring contribution over an annual period for Lathem. And then the question mark really is what's the velocity of the hardware sales. I think what the $15 million is probably not unreasonable. It could be a little bit higher if we have some windfalls. But what you got to remember is what we're going to do ultimately with Lathem is change their business model a little bit. Historically, what they were doing is they sell hardware, have a onetime event and then upsell the software or the solution. We're going to probably do more of a bundling approach, especially as we start to offer payroll with it and some other products. So I think that's where I'm a little bit hesitant to say, I think 15% is fair. It might be a little bit more. But ultimately, we're going to change a little bit of their business model, the go-to-market strategy. So that's why I think that's probably not an accurate view of kind of Lathem over time.
Patrick Goepel: The other point I'd say is the integration is right on schedule as far as bringing Asure and Lathem together. Lathem has some areas where they have channel partners, et cetera, and we're not going to change too much of that model. But as we integrate the offering between Asure Payroll and Lathem, I think we've already seen some pretty good synergy from a revenue perspective coming together with our offering. So excited about the possibilities for '26.
John Pence: Yes. And the way I think about it, too, just as another point on Eric, they have 15,000 customers right now that are on using their time and attendance solutions that don't have a connection with us in terms of payroll. So when we look at that business, yes, they brought us the customers, but we're going to take credit for when we start to sell the payroll into them. So that's where we see a lot of growth. It's going to be into that Lathem base, but it's going to be our product on top of that Lathem base.
Eric Martinuzzi: And if I could follow up on the hardware. Obviously, you had a higher number in Q3 because of Lathem. That $4.4 million number for professional services and hardware, is that kind of a safe new run rate for that portion of the revenue?
John Pence: I think about $3 million, honestly. I think probably fair for the near term to think about $2 million of hardware for sure, at least for the next 12 months. And I think a fair number for professional services is probably $1 million. Now it might be higher or lower. The variability on professional services is going to come in as we're doing some work for these large tax deals that can vary decently between quarters as they're going up and live. So I think you saw a little bit of that last year in the fourth quarter where we had a pretty heavy install, which makes sense right around year-end. So I think you'll see some dynamic in the professional services -- but in general, I think two and one between those two over the year is probably a fair way to start. Does that include that?
Patrick Goepel: Yes. No, I think -- yes, I think that's exactly right. And I think the two and one is pretty safe, and there might be some upside down the line. But right now, that's a great place to model.
Operator: Our next question comes from Richard Baldry with ROTH Capital Partners.
Richard Baldry: I'm curious if Asure Central, the rollout of that will cut any of your sort of legacy technology stack support costs and whether it's already includes as a front end for Lathem or if that's sort of a near-term thing that will develop?
Patrick Goepel: Yes, Rich, no, great question. First of all, from a legacy development, we're already seeing some pretty good cost initiatives around some of our costs. The newer products and services that we've rolled out significantly are cheaper. We're also, from a development cycle, spending less money on maintenance and more money on new, and that continues to grow over the past couple of years as we kind of have an eye towards the future, and we've been able to stabilize and improve the back end quite a bit now the front end. And as we look at some of the new development costs and the new products, they're definitely lower on maintenance. So really excited about that. As far as Lathem, we're in the, I'll call it, months, not years. We're really close to integrating that with Asure Central. All -- most of the other products are either online or going to be online within this quarter. So Lathem probably targeted towards first quarter, but we're well on our way to doing that.
Richard Baldry: Great. Well, you're seeing the improvement in the organic growth. Can you talk about sort of what's the underlying drivers there? Is it sales headcount improvements? Is it sales efficiencies? Is it sort of unit driven or ARPU driven, just sort of the pieces underlying that.
Patrick Goepel: Yes, Rich, we said earlier in the year that attach rates are going to be kind of a driver. And the 7% sequential, we think is a pretty good proof point from second to third quarter. And then if I dive into those numbers, which is two or more products, if I look at three, four, five products, that's the fastest growing. So I think as we look at this year, we've been kind of run rating it. As you look at 2026, I think you're going to see us spend more money in sales and marketing. That's implicit in the guide. We're also bringing online the technology development really that we've been building towards for the last couple of years. So you'll continue to roll that out. That's in the guide. I think we really are sitting on an opportunity to really grow exponentially here as we bring all these point solutions together. Now any time you're bringing them together, it's kind of crawl, walk, run. I would say we're walking fast, and we'll continue to do that and get momentum here, not only this quarter as we've done in third quarter, but fourth quarter will be increased, first quarter will be increased. And we anticipate each quarter in '26 to continue for us to get better at selling, implementing, servicing multiproduct installations, and we anticipate that area to grow.
Richard Baldry: Last for me would be with the rollout of some of the newer AI-driven sort of development tools, but other agentic things to help back offices be more efficient. How do you think about the connection or leverage on top line growth versus operating expense growth sort of near term, long term now?
Patrick Goepel: Yes. And John has done a nice job, and we've done a nice job internally around growing scale. If you can think about, let's say, 2021, we were somewhere around $76 million with about adjusted EBITDA of $8 million. Our long-term goal here is $180 million to $200 million or medium-term goal and to get to 30% margins. This year, implicit in our guide for '26 is 23% to 25%. So we're continuing to just grow profitability. On the revenue side -- and by the way, on the profitability, our headcount has been relatively flat. We've added marketing and sales, but operations and some of the G&A have really been relatively flat during this period of time. So we're getting scale. And then from a revenue perspective, what we've been leaning into is software and multiproduct software gives you all kinds of advantages. But with the AI workflow, and we have Luna as our Gen agent, and then we have her actually connecting to other agents. We think we have the ability to really control the narrative, not only in software, but also workflow with the software. And we think that there's all kinds of opportunities in that area. And then for us, we're going to lean into that compliance area. So if you think of a business with 20 employees that now has to report to COBRA, the system can kind of really tell the client that at 20 employees, they have to report COBRA and then we can go out and do it for them with their permission. That kind of experience is an AI experience that drives revenue, and it also drives workflow on cost. So you're going to see a lot of examples in that over the upcoming year.
Operator: [Operator Instructions] Our next question comes from Greg Gibas with Northland Securities.
Gregory Gibas: Could you maybe speak to attach rates, the trends you're seeing there? You mentioned, I think, 400 basis points of year-over-year improvement last quarter. Wondering if that trend remained relatively consistent.
John Pence: Yes. I think what I said in my prepared statements, I think Pat just made a comment to it as well. I mean it's single digits sequentially increasing. So I think you said 7%. I think that's about right, is somewhere in that range sequentially in terms of the improvement quarter-to-quarter.
Gregory Gibas: Got it. And then to follow up, just to clarify, you mentioned about, I think, 7% implied organic growth in 2026. Is that consistent with your expectations for Q4 of this year?
John Pence: Yes, I think so. I think we did that in Q3. So we expect, I think, maybe a little bit of a tick up based on the fourth quarter, just implied in the guide. It has to come basically from organic a place for it to come from.
Gregory Gibas: Fair enough. And I guess, lastly, as it relates to integration plans with Lathem time, relatively early still, but could you maybe discuss further integration plans that are maybe currently underway?
John Pence: I mean I think there's some really exciting things. Like we've talked in the past about the AsurePay card, which we're still in the early stages of. But imagine what they've got is they've got a time clock, right? So pretty simple, you go and you wand in with a badge to log in and clock your time in and clock out. Well, what we can do and what they're working on is another integration point is usually AsurePay as that wanding device. So you've got in the hand of the employee, you've got a device not only that allows them to clock in and clock out, but also as a way to get paid. And that can be the vehicle that they're going to get their paycheck. So that's just one example. We feel like there's a lot of potential with that deal.
Patrick Goepel: Yes. And Greg, just on that, their client base and our direct client base Chile have 30,000 clients. the ability to work together, improved book-to-bill on all those products. We talked a little bit about integration. And then back-office systems, we have opportunities to get integration really through the -- all the way through '26. So really excited about it, really good people. We're excited about the movement, both from a revenue perspective as well as the scale and efficiency perspective.
Operator: Our next question comes from Alex Neumann with Stephens.
Alexander Neumann: Could you talk a little bit more about Asure Central? Just what are the major difference here in the new platform? And then just secondly, how do you feel about the upgrade platform from a competitive standpoint and if you're expecting any uplift in price from it?
Patrick Goepel: Yes. I think from us over time, and we'll talk about in '26 is some of the -- not only the attach rates, but the ARPU or revenue per unit. We do anticipate upticks. We're kind of showing that or proving that out, and you'll see more of that in 2026. But if you think about just in Q2 -- in Q3, we had a 7% improvement in unit volume, and we really didn't have Asure Central yet. So we believe that, that common look and feel across all products and services will drive more adoption of our cross-sell and in turn, that revenue opportunity. We're really excited about that. I think we'll get a little bit more firm data on the ARPU in '26. But for right now, we see evidence that it's happening. We're rolling this out in all avenues of the business from marketing, implementation, sales, operations and technology. So we know -- and in my past life, I've had this kind of experience before. We think it's -- we're really at an inflection point and bringing these point solutions together will do that. And then from an efficiency perspective, the idea to get to event-driven marketing will make it degrees of difficulty easier to cross-sell and implement faster. So we'll use our data and reach into AI to enable that to grow faster. And our guide reflects high single digits or so. I think we have an ability to beat that as we go. But that's a story for more proof points along the way. And each quarter, we'll have an opportunity to talk about that.
Operator: There are no further questions at this time. So I would now like to turn the floor back over to Pat Goepel for closing comments.
Patrick Goepel: Yes. I really appreciate everybody's interest today. Like I said, I think it's -- we're at an inflection point. We hit that in the second quarter. We're growing. We're bringing everything together here that we've been working on for multiple years, all our products and point solutions, integrating them together. We've had really good growth in areas. We've had really good progress in our money movement and our tax filing business. That will continue as well. So we think we're at the verge of increasing results, and you'll see that through the end of '25 as well as '26, and we really appreciate your support. Patrick mentioned that we'll be out on some road shows and some client events and investor conferences, and we look forward to telling that story and seeing you out there. Thanks for your time today. And again, really appreciate it. Take care.
Operator: This concludes today's teleconference. You may now disconnect your lines. Thank you for your participation.